Operator: Good afternoon everyone and welcome to the PLDT Conference Call. This conference call is being recorded. Replay information will be provided at the end of the call. At this point, I would like to turn you over to Melissa Vergel de Dios, Head of Investor Relations of PLDT for the introduction. Please go ahead. Thank you.
Melissa Vergel de Dios: Good afternoon and thank you for joining us today to discuss the company’s financial and operating results for the first quarter of 2013. As mentioned in the conference call invitation, today’s presentation is posted on our website. For those who’ve not been able to do so, you may download the presentation from www.pldt.com.ph, under the Investor Relations section. For today’s presentation, we have with us members of the PLDT Group management team, namely, Mr. Poly Nazareno, President and Chief Executive Officer of both PLDT and Smart; Mr. Chris Young, Chief Financial Advisor of PLDT; Ms. Anabelle Lim-Chua, SVP, Treasurer of PLDT and Chief Financial Officer of Smart; and Attorney, Ray Espinosa. At this point, let me turn the floor over to Poly Nazareno for the presentation.
Poly Nazareno: Good afternoon. Let me present to you PLDT’s financial and operating results for the first quarter of 2013. On the first slide, consolidated revenues for the first quarter of 2013 amounted to PHP 40 billion, similar to last year. Net of interconnection costs, services revenues were 1% higher year-on-year. EBITDA for the period remained stable compared with last year at PHP 20.4 billion. EBITDA margin of 51% was also similar to last year. Core net income grew by 4% to PHP 9.6 billion during the quarter compared with PHP 9.2 billion last year. Reported net income, including exceptional items, declined by 8% to PHP 9.2 billion compared with PHP 10 billion in 2012. The results of the BPO business are presented as discontinued operations. Underlying the stable revenue and EBITDA numbers is the ongoing structural change in the dynamics of our business, which I will discuss in further detail in the presentation. On the next slide, core net income for the first quarter of 2013 rose to PHP 9.6 billion, compared with PHP 9.2 billion in the first quarter of 2012. This is consistent with our view that PLDT would return to modest growth in core profit this year and tracks our core income guidance of PHP 38.3 billion for 2013. The rise in core income is due to the combined effects of stable revenues and relative to the previous year as well as lower depreciation expenses and lower provision for income taxes this quarter. Reported net income at the end of March declined by 8% or PHP 800 million year-on-year to PHP 9.2 billion. Although core income was higher by PHP 400 million, this was offset by lower forex and derivative gains of PHP 900 million and the impact of the revised Philippine Accounting Standards 19 as a result of MRP costs previously accrued in the fourth quarter of 2012 and were reversed about PHP 800 million of which were recognized during the first quarter of 2013. With the completed sale of our BPO businesses, we expect to book a non-core gain of approximately PHP 1.6 billion in the second quarter of 2013. On the next slide, as mentioned earlier, consolidated service revenues for the first quarter was steady year-over-year at PHP 40 billion. A look at the underlying businesses however shows the ongoing change in our revenue mix. We can classify our revenues into three categories, growing, steady, and declining. Our non-SMS data revenues are growing, registering a 10% rise to PHP 8.2 billion in the first quarter of 2013. These account for about 20% of the total revenues. Although revenue contributions are still small, strong increases were recorded for mobile Internet browsing and data center, which grew by 42% to PHP 1 billion and 92% to PHP 400 million respectively. Our SMS, cellular domestic voice and LEC or Local Exchange revenues constitute our steady businesses which remain stable at PHP 24.2 billion for the first three months of 2013 and representing about 60% of total revenues. Gains from our growing business were offset by lower revenues from NLD, ILD, and cellular international voice, which are expected to continue to decline due to the impact of the peso appreciation and the growth of non-SMS data broadband. At the end of March, combined NLD, ILD and cellular international voice revenues accounting for about 17% of total service revenues were 9% lower at PHP 6.6 billion. Compared with other telcos in the region, PLDT has historically had a bigger amount of ILD and NLD revenue as a percentage to its total revenues. As such, at this stage, the double digit growth in data and broadband revenues are not yet sufficient to fully offset the decline in legacy revenues. Due to good cost control, consolidated EBITDA was steady year-on-year at PHP 20.4 billion with EBITDA margin of 51% similar to last year. The aforementioned change in revenue mix also impacts our EBITDA margins given that the newer revenue streams have relatively lower margins compared with the legacy revenues. Over time, we anticipate margins to gradually trend downwards with the decline to be partially mitigated by initiatives to improve cost efficiencies. On the next slide, our combined cellular service – our cellular subscriber base rose by 1.8 million from the end of 2012 to nearly 72 million at the end of March 2013. Our Talk ‘N Text brand led with nearly 31 million subscribers followed by Smart with over 25 million subscribers and Sun with close to 16 million subscribers. Prepaid cellular subscribers accounted for 97% of our total subscriber base and grew by 2 million to 69.6 million at the end of the first quarter. Our postpaid subscriber base dipped by 180,000 to 2.1 million from the end of 2012 following a cleanup of inactive subscribers for Sun. This was offset by an increase in Smart postpaid subscribers by about 84,000. Despite this dip, postpaid revenues grew by 12% year-on-year due to expanded initiatives. Our subscriber base stood at 3.2 million at the end of March, lower by 100,000 from December 2012 as inactive subscribers were churned from the base. Of our total base, about 2.2 million are prepaid subscribers while over 907,000 are on postpaid. The number of fixed line subscribers was stable at 2.1 million. During the quarter, the migration of the digital fixed line customers to the PLDT network was started. Once completed, these customers would be assured of a continued connectivity and access to a wider range of fixed line services. Next slide. For the highlights of the various segments starting with broadband, which continued to register double digit year-on-year growth this quarter. Broadband service revenues now representing about 16% of total service revenues rose to PHP 6.4 billion in the first quarter of 2013. Mobile internet browsing revenues for the quarter hit the PHP 1 billion mark, a 42% increase from last year. The outlook for the broadband business remains very attractive given young Philippine population and an increasing take-up of smartphones. There are over 14 million data capable handsets on our network of which about half are 3G handsets. We are beginning to see a greater number of low priced Chinese handsets in the market today backed by increased advertising support. PLDT is well positioned to tap the potentials of broadband given its competitive advantage from its unparalleled network. Turning to our business revenues for the quarter were steady year-on-year at PHP 28.5 billion, reflecting early signs of a more stable competitive environment and a growing contribution from wireless broadband and mobile Internet revenues. Turning for the wireless business has become more positive. We successfully defended and stabilized our revenue market share in four quarters of 2012. We continue to pursue initiatives to stem ARPU decline and improve yields. There is a greater focus on growing the postpaid business toward data potential. However, our efforts are calibrated in order to minimize margin erosion and protect profitability. Moving to the fixed line, revenues were higher by 1% at PHP 15.2 billion at the end of March 2013. This quarter, increases in DSL and corporate data revenues fully offset declines in NLD and LEC revenues. DSL and corporate data will continue to propel fixed line revenues going forward. An increasing suite of services are now available to the home and enterprise markets. We are particularly excited about the potentials of fiber-to- -home, triple-play offers, the video on demand, which are all made possible via our supercharged network. Our enterprise business continues to lead the market in serving the corporate and SME clients. It has recently expanded its offerings to include data and cloud services, which have already begun to show a good take up. On the next slide, free cash flow for the first quarter of 2013 stood at PHP 7.1 billion, lower by PHP 5 billion compared with previous year, mainly due to net in decrease in working capital of PHP 3.7 billion relating primarily to MRP accruals, higher CapEx and net interest expense. PHP 4.2 billion of debt was repaid during the period using free cash flow. PLDT’s CapEx for the year is estimated to reach PHP 29 billion or PHP 7.4 billion lower than the CapEx for 2012. This year’s CapEx aims to supplement the just completed two-year network transformation program that boosted PLDT’s network advantage. Part of our network investment this year include further expansion of 3G coverage and capacity, activation of more LTE sites, a build out of a 5,000 kilometer of fiber to add to the 54,000 kilometers already in the ground, roll-off FTTH with 2 million homes past by year-end, transformation of our service delivery platform that will enable the handling of IT-based multimedia content. Total CapEx for the first quarter amounted to PHP 3.1 billion. On the next slide, PLDT completed the sale of its BPO businesses under SPi Global Holdings to Asia Gamma Outsourcing Limited or AOGL, a company controlled by CVC Partners. Subsequently, PLDT reinvested about $40 million for a 19.7% stake in AOGL, allowing it to continue to participate in the growth of the of the BPO industry as a partner of CVC. PLDT received net proceeds of about $316 million. A non-core gain in the vicinity of PHP 1.6 billion will be booked in the second quarter. The sale of the BPO businesses is part of a rebalancing of PLDT’s portfolio, generating funds to partially repay debt for investment in media and content as part of PLDT’s strategy of transforming itself into a multimedia group. Now for a few updates on Cignal TV, the direct-to-home Pay-TV business. Cignal TV had over 457,000 customers at the end of March 2013, up from 279,000 in March last year and 441,000 at the end of 2012. EBITDA is expected to be positive in the second half of the year. On the next slide, the first quarter core profitability provides a good start towards our achieving core profit guidance of PHP 38.3 billion for 2013. Given lower CapEx of PHP 29 billion and based on conditions, we are optimistic about the prospect of another 100% dividend payout this year. Thank you for joining us today. We are now ready to take your questions.
Operator: The floor is now open for your questions. (Operator Instructions). Our first question is from Mr. Luis Hilado. Your line is now open. You may go ahead.
Luis Hilado – Hongkong & Shanghai Bank: Hi. Good afternoon, thanks for the call. I have three questions. The first is on the cellular service side of the business. We saw in the first quarter that voice revenues were down 2% while data was up 2%, so offsetting each other. Is this going to be a trend wherein data is going to continue to cannibalize voice, in your opinion? Second question is just looking up the Talk ‘N Text ARPU numbers down 15% year-on-year and 12% Q-on-Q, any particular factor behind that? Was that because you’re migrating those subscribers to postpaid? And the last question is regarding the tax rate, the 23% tax rate, should we use that for the full year?
Poly Nazareno: With regards to the – if you look at page 3, Luis, the growing part of the business is roughly totaling about PHP 8.2 billion by the end of last quarter and the declining part is totaling about PHP 6.6 billion. We are looking at a similar decline of about PHP 700 million on both ends. And as you can see, I’m not saying that the voice is being cannibalized by data, but certainly when it comes to international inbound, this is beginning to be so on top of the fact that the peso is getting stronger.
Luis Hilado – Hongkong & Shanghai Bank: Stronger, okay.
Anabelle Chua: The next question was on?
Poly Nazareno: Talk ‘N Text ARPU, 15% year-on-year and 12% in the quarter.
Anabelle Chua: The Talk ‘N Text subscriber base has increased tremendously over the last quarter and over the period cited. And so there is a diluted effect from adding, I guess, incremental subscribers at lower ARPU levels.
Luis Hilado – Hongkong & Shanghai Bank: Okay.
Poly Nazareno: Thank you Luis.
Poly Nazareno: I think on the tax rate, well, you can assume that sort of level for the full year. If you look at it year-over-year, actually the tax rate was relatively higher in the first quarter of 2012. The tax rate for this year is closer to – for the first quarter is what we expect for the full year.
Luis Hilado – Hongkong & Shanghai Bank: Okay. Great Thanks a lot.
Operator: Any follow-up questions, sir?
Luis Hilado – Hongkong & Shanghai Bank: That’s all for now.
Operator: All right. Thank you. Our next question is from Mr. Arthur Pineda. Your line is now open. You may go ahead.
Arthur Pineda – Citigroup: Hi. Thank you for the opportunity. I have four questions. Firstly, historically you’ve seen election years and the boom for Telco revenues in the Philippines and so far revenues have actually been flat year-on-year, especially on the mobile side. Was there any uplift at all related to elections in the first quarter or these have been even softer if this had not happened? The second question I had is with regard to the comment that the market maybe turning more rational, what are you seeing definitely in terms of offers done by yourself and competitors this quarter versus the previous quarters? The third question I had is with regard to pension, you mentioned there were some changes with regard to the accounting here and you retroactively changed the bookings for 2012. Given the likely losses of MediaQuest in 2013, does this mean additional pension expenses being booked in this year? Any guidance on the MediaQuest that will be useful? Last question I had is with regard to Sun. It was mentioned that the postpaid subscriptions have been eliminated, especially for those inactive subs. Aren’t there any guaranteed revenues attached to these postpaid subscriptions? And is there any provisions attached to this deactivation? Thank you.
Poly Nazareno: Arthur, with regards to the election year, we’re not seeing that much of an uplift at this point. However, normally, a lot of cash will start flowing towards the – as the Election Day nears and hopefully this would serve to give us an uptake on the load. But other than that, we’re not seeing a big uplift. This is almost the same as in the last election. And in fact, this one would be – we’re expecting a little bit less because it’s not a Presidential Election. In terms of offers where it is a more – we’re looking forward to a more rational situation because there are really no predatory offers at this point. And when we look at regional attacks, this is much less at this point compared to other quarters, so that is an indication for a more stable situation moving forward.
Poly Nazareno: I think, Arthur, maybe on the changes in the accounting that relates to Philippine Accounting Standard number 19, there are two elements of it. One relates to the situation, well, there is an MRP or a reduction program. In the past, if there was a formal plan in place which detail in terms of the retirement and it could not be realistically withdrawn, then an accrual was made on that basis. The revision to the accounting standard tightens that a little bit with the requirement that you should only account for that when the individual can no longer withdraw. So effectively, you require an acceptance of the offer letter by the employee. So the impact is that some of the provisions that we’d made at the end of 2012, in the fourth quarter will actually fall through the P&L during the current year. So the provision pre-tax is about PHP 1.3 billion that we recorded in fourth quarter 2012. That will be reversed and the actual amount based on the acceptance of the offer letter by the employee will fall through quarter-by-quarter. So in the past quarter of 2013, that is about almost – about PHP 791 million before tax. So it’s more by way of a tightening difference rather than...
Anabelle Chua: It makes also at the reported...
Poly Nazareno: Yes. So from our perspective, we recorded that within the reported, as it’s a change of accounting practice. But let’s just say it just moves it really from the fourth quarter and partly into the first quarter of this year and some of them may fall through into the second quarter. There are some other adjustments in respect of what’s called PAS 19 which will affect pension accounting. None of that really relates to the specifics of MediaQuest. Now having said that, it’s fair to say that – and I think we’ve discussed this before that the BTF pension accrual will be somewhat higher in 2013, 2014, than it has been in recent years. I think broadly, we were expecting that expense of the PLDT level would be about PHP 1 billion this year, which is a bit higher than we’ve seen in 2011 and 2012. The last point on postpaid?
Arthur Pineda – Citigroup: All right. Just to clarify that, that’s included in the core profit guidance, is it?
Poly Nazareno: Yes. The additional – the higher provisions?
Arthur Pineda – Citigroup: Yes.
Poly Nazareno: Pension expense.
Anabelle Chua: Yes. The pension expense is part of the – that PHP 8.3 billion guidance.
Poly Nazareno: With regards to the Sun postpaid subscriber base, this is a one-time cleanup, which has really no impact on the revenues, Arthur. In fact, in spite of the dip in the base, the revenues of the postpaid totally registered 12% growth.
Arthur Pineda – Citigroup: There was no guaranteed monthly ARPU from these subscribers?
Anabelle Chua: It’s a purely accounting sort of type of cleanup.
Arthur Pineda – Citigroup: Understood. Okay. So if I can just follow up just one last question for me, you mentioned that you’re seeing competition moderate and just going back, are you actually seeing price points going up at this stage or are you just seeing no further worsening in terms of the competition that is bottoming up?
Poly Nazareno: What we’re seeing is no further worsening ARPU, but from our end, we are slowly deemphasizing unli, moving towards longer duration buckets and higher denoms in terms of buckets.
Arthur Pineda – Citigroup: Very clear. Thank you very much.
Poly Nazareno: Thank you.
Operator: Any other question, Mr. Pineda?
Arthur Pineda – Citigroup: No, I’m fine. Thank you.
Operator: All right, thank you. Our next question is from Chate Ben. Your line is now open. You may go ahead.
Chate Ben – Credit Suisse: Good afternoon and thank you very much for the opportunity to ask questions. I have four questions. The first one is regarding the cellular revenue. I understand that in the matter that you break things down. The cellular domestic voice actually is stabilizing or growing and SMS revenues, and what really caused a decline in cellular voice on the international side? Can you just talk us through what’s the driver behind such decline and what’s the turn in there? And the second question is regarding the subscriber growth that when you break down by brand. Obviously, the subscriber growth is coming from the Talk ‘N Text brand, which has much lower ARPUs and the subscribers on the main Smart Prepaid brand continue to decline. I just suspect that there’s some internal cannibalization there. Can you just talk us through what’s happening then? Is there any particular initiative you’re working on right now to grow the Smart Prepaid brand again? The third one is you mentioned initiatives, things like the deemphasizing unlimited and move to a longer days in terms of the load, should we expect the impact to come in any time soon in terms of like boosting the revenue growth or it’s more of a gradual things that we might take several quarters to actually see the impact? And the last question is actually is really housekeeping. I see there’s quite a restatement in terms of the cellular revenue on an each quarter basis from your appendix. I just wanted to understand what caused that restatement in terms of revenue breakdown? Thank you.
Anabelle Chua: On the first question, Chate, with respect to the international portion of cellular voice revenues, that would, I guess, have been impacted one by the strength of the peso, so that’s a 5% appreciation in the exchange rate which would have contributed to the downward trend in the revenues year-on-year. There was also some promotional activity from some of the Middle East carriers in the early part of 2012 that contributed to boost in traffic volume in first quarter of 2012 which has not been repeated subsequently, so that’s also one of the elements that differs year-on-year. Now if you project into the second quarter, the second quarter last year, there was some dip in the cellular international voice revenue which we don’t expect to happen this year. So it’s kind of will even out a bit when we get into – the time we get into the first half.
Poly Nazareno: Please proceed with the next question.
Chate Ben – Credit Suisse: The Talk ‘N Text versus Smart brand, how do you differentiate from Smart?
Poly Nazareno: Well, the migration from – apparent migration from Smart into Talk ‘N Text is mainly seeking a new level for subscribers who are at the higher-end prepaid. And what we’re doing is we’re trying to get them to convert to postpaid instead rather than them going down to Talk ‘N Text prepaid. This is essentially – we’re looking at several initiatives on that end to enhance our postpaid business that would hopefully make them use more data and also for them to be able to get hold of smartphones instead. As the smartphone penetration increases, I think that would lessen the migrations from Smart to Talk ‘N Text. The restatement of the revenue breakdowns and...
Anabelle Chua: On the restatement of the cellular revenues, it relates to how we eliminate intercompany transactions within the group, so we took a slightly different approach now in that intrasegment transactions would be eliminated within the segment rather than at the total consolidated levels. So specifically, transactions or intercompany revenues and expenses between Smart and Sun mobiles will be eliminated within the wireless segments rather than at the total company level, which we used to do before. So we made that restatement in the first quarter this year and, of course, we have restated the comparative stated that year.
Chate Ben – Credit Suisse: Okay. So such restatement does not have an impact on the restatement of EBITDA coming throughout the year, so it’s just like revenue, revenue?
Anabelle Chua: Within the segment EBITDA, there is some effect on the segment EBITDA but total company EBITDA, of course, there’s no effect. So I think on the IR side, we will provide the analysts with the details for the quarterly results of 2012.
Poly Nazareno: I think the reason for that is that with Smart and Sun, one of the initiatives that we’ve had is more to look at things like the tri-net plan. There’s more activity between the respective companies. So if we didn’t take this new approach, it would tend to heighten the revenues on both sides and also there would be higher effect of the interconnect expenses between the two. So I think if we’re looking on a cellular wireless segment basis, it gives a better feel of how the business is performing as a whole. And then rather than just doing it at the overall consolidation level.
Chate Ben – Credit Suisse: All right. Thank you. Yes, just one last follow-up question. I asked about your initiatives on the prepaid side of things like longer validation and also the emphasizing of unlimited services. When should we expect that to start impacting revenue positively or it’s more like a plateau of several quarters’ improvement?
Poly Nazareno: That is already impacting, in fact, Sun’s, if you look at the margins of Sun, it is steadily increasing when as of last year when Sun was acquired their EBITDA margin was at 28, 29 levels. It went up at the end of last year to about 35% and in the first quarter of this year we’re doing about 37%. So we are slowly increasing the profitability of Sun where there is so much unlimited revenues in their bucket.
Chate Ben – Credit Suisse: All right. Thank you very much.
Poly Nazareno: Thank you.
Operator: Any other questions Mr. Ben?
Chate Ben – Credit Suisse: That’s good for me. Thank you.
Operator: All right. Thank you. Our next question is from Ms. Neeraja Natarajan. Your line is now open. You may go ahead.
Neeraja Natarajan – Nomura: Hi, thanks for the opportunity. I had a couple of questions firstly on this mobile Internet growth if I see the last three, four quarters I’m not sure the income statement on these numbers but the trends in last couple of quarters particularly seems a bit flattish. So any thoughts around that and data take up. And the second question is actually on the cost structure for – looking ahead into this year. I mean typically when people talk about data being less profitable it’s usually on account of, I mean subsidies to some extent and also network cost but given that we are past the high CapEx stage, I mean, I do understand there is a mix change but I mean, I still don’t get sense of why you’re not a bit more optimistic on margins probably in the next at least 12 to 24 months especially if competition is rationalizing. So if you can give us some color on which are the cost items where you directionally see pressure continuing, that would be very helpful. Thanks.
Poly Nazareno: With regards to the mobile Internet, you can see that the growth in the first quarter of this compared to this same quarter of 2012 is about 42% from PHP 700 million around that number to about PHP 1 billion. So, this is something that is really growing...
Neeraja Natarajan – Nomura: No, I was actually – sorry.
Poly Nazareno: Yes.
Neeraja Natarajan – Nomura: Looking at more sequential trends not year-over-year. I mean, the last three full quarters incrementally has been – it seems to be a bit slow, is that right?
Poly Nazareno: On mobile Internet, but maybe on wireless broadband, which is the dongle revenues, it’s a little bit slower. In fact in the previous year, mobile Internet grew much more, almost double.
Anabelle Chua: Okay.
Poly Nazareno: Although it’s a very small figure. I mean it’s...
Anabelle Chua: I think maybe on the second point in terms of why our view on the margins, it really goes I think for the issue of the revenue mix. I think as Polly was explaining in one of the early charts of the presentation, there is growth on the mobile on the fixed and in terms of the data side. But as we, I think discussed before that there is decline in other parts of the revenue mix and particularly – in particular the ILD and NLD businesses. So these historically have been part of the higher EBITDA parts of our revenue mix. So I think in terms of the comments that you make about improvements in EBITDA going forward, I think that would be accurate if there was no underlying change in the revenue mix. But I think even we anticipate that ILD, inbound, international and NLD will continue to decline over the next few years, that is something which does have a downward impact on the EBITDA when we look at it consolidated across the group.
Neeraja Natarajan – Nomura: Okay. Thanks. Actually, if I may follow up one more question, in terms of the first quarter agenda, I understand you said that there were some pressure on the international voice in wireless, but even if I look at like SMS and just domestic voice, it seems to have been a bit of a decline year-over-year. I mean we would have expected like an improvement given that you are – I mean, voice is still not that high usage and we’re still not in cannibalization. Should we see this momentum pick up in the back – through the back half of this year?
Anabelle Chua: Domestic voice is up year-on-year. It’s international voice that’s down. Now, the – I guess in just kind of generally speaking, what we have been doing on the voice side for the mobile is really also to try to calibrate or rein back the unlimited component of it by limiting the number of registrants on to unlimited, et cetera, to better manage the overall traffic volume. So that’s really just that part of the business that we just have to manage between the revenue as well as the quality of service and the impact it has on the network performance. But generally speaking, there is still, I guess, growing voice usage, both on the Smart and the Sun brand.
Neeraja Natarajan – Nomura: All right, thank you very much.
Operator: Any other question, Ms. Natarajan?
Neeraja Natarajan – Nomura: I’m good. Thank you.
Operator: All right. Thank you. Our next question is from Luis Hilado. Your line is now open. You may go ahead.
Luis Hilado – Hongkong & Shanghai Bank: Hi, thanks. Just two follow-up questions from me, one is just housekeeping. If you could tell us what the smartphone penetration is right now in your network as well the 3G feature phone penetration? And second question is regarding the proceeds from the BPO sales, it’s mentioned – disclosed that it will be used for investments in media and content. Could you elaborate whether this would be for existing investments or new investments?
Poly Nazareno: Well, with regards to smartphones, Luis, what we are seeing in the network today is approximately about 5.6 million smartphones active in the VLR at the given time – I’m sorry, in the network at a given time and the penetration of which, therefore, should be around, I would guess about 9%.
Luis Hilado – Hongkong & Shanghai Bank: Okay.
Poly Nazareno: Or 10% already in the market. But this is now growing tremendously and I think in the recent study, we are labeled as the fastest-growing in smartphones’ take-up in Southeast Asia.
Luis Hilado – Hongkong & Shanghai Bank: How long in terms of 3G-feature phones? Is it similar or I suppose a much larger number?
Poly Nazareno: The 3G-feature phones...
Anabelle Chua: Yes, about 9 million.
Poly Nazareno: There are about how much? There are 14 million data-capable phones.
Anabelle Chua: 9 million of the 3G phones.
Poly Nazareno: And about 9 million or 8 million are – what do you call this, 3G. But this is through WAP access. This is – with smartphones, it’s a better experience because you have the widgets and you can download apps.
Luis Hilado – Hongkong & Shanghai Bank: Okay, good.
Poly Nazareno: Yes.
Anabelle Chua: Luis, on the investment or reinvestment of the BPO sales proceeds in Qmedia this is nothing new from what we’ve announced with respect to the investments into media which consisted of the PHP 6 billion PDR investment in Cignal 2012 followed by a combined PHP 3.6 billion – another investment of PHP 3.6 billion in Cignal TV as well as about PHP 2 billion in the print side so PHP 5.6 billion for this year.
Luis Hilado – Hongkong & Shanghai Bank: Okay, great. Thanks a lot.
Operator: Any other questions, Mr. Hilado?
Luis Hilado – Hongkong & Shanghai Bank: That’s all.
Operator: All right, thank you. Our next question is from Paresh Mehta. Your line is now open. You may go ahead.
Paresh Mehta: Yes. Hi, thank you for the call. Just wanted to know your thoughts on competition in the medium term and then when in your view we could see an environment that could lead room for better pricing?
Poly Nazareno: Already, right now by de-emphasizing the unlis and moving towards longer duration and high denoms, you will see that pricing could move up and that’s what’s happening actually at the Sun level where the margins are even improving as I mentioned earlier, so already now you can see that. So we expect that the competitive environment would be more rational going forward.
Paresh Mehta: Okay and should that lead to upside risks to your growth estimate for the industry at the company level as well?
Anabelle Chua: Well, I guess it’s incorporated by way of our higher core income guidance right before the year where we have, our guidance is at about 3% higher year-on-year in terms of core income. And so that presumes an element of less competitiveness or more stability in the industry front.
Paresh Mehta: Okay. Thank you very much.
Operator: Any other questions Mr. Mehta?
Paresh Mehta: No, that would be all. Thank you.
Operator: You’re welcome. Our next question is from Rama Maruvada. Your line is now open. You may go ahead.
Rama Maruvada – Daiwa Capital: Hi, good afternoon. Three questions from me, please. Firstly with regards to the movement in interconnection costs, they’re down substantially year-on-year. Just wondering if you could provide a bit more color on what’s driving this in terms of lower rates as well as the traffic patterns and what we should expect going forward, that will be good. The second one is again on the overall cash OpEx base. It’s up 6% year-on-year. I’m just wondering when we should expect OpEx actually to come down or to trend down. If you have any thoughts on this, it will be much appreciated. And the final one with regards to Philweb transaction. I’m just wondering when you’re going to book the PHP 1.7 billion gain.
Anabelle Chua: On the easy one, the Philweb transaction, there are two remaining tranches, one to be completed in June and then the final tranche to be completed in December.
Poly Nazareno: On the cash OpEx, you should adjust the 6% for the impact of the FAS 19 adjustment which is about PHP 800 million. So the increase I think as a result is probably only about 2% after that adjustment. And that’s sort of the range we will be expecting going forward. So that’s a one-off effect on the first quarter. I think on the Interconnect, really, there’s no change in the rate. Interconnect rates are the same as they were in 2012. The only thing that may be changing there is that there is more on-net calling rather than off-net calling. So the volume of interconnect traffic may be decreasing, but there’s no change in terms of the interconnect rates themselves.
Rama Maruvada – Daiwa Capital: Would you be able to provide from data on what is the on-net to off-net ratio at the moment maybe in the first quarter?
Anabelle Chua: We don’t have it on our plan, but I guess the market changed in a way because there was the introduction of the all-net type of offers. But I guess relative to last year, we’ve calibrated that down so that explains why the interconnect cost has slightly decreased from last year.
Rama Maruvada – Daiwa Capital: Okay, thank you very much.
Operator: Any other questions, Mr. Maruvada?
Rama Maruvada – Daiwa Capital: No. Thank you.
Operator: You’re welcome. Our next question is from Surabhi Chandna. Your line is now open. You may go ahead.
Surabhi Chandna – Morgan Stanley: Hi. Thanks for the opportunity. I have four questions. First, I wanted to touch upon the accounting changes. So is my understanding correct that the PHP 3.8 billion MRP that you had for 2012 will be reversed and factored in 2013 entrenches and the first being it PHP 790 million. Can you kind of just normalize what should be the EBITDA for last year and for the first quarter this year? Second question is on the media business, can you recap your expectations for contribution to overall business either in terms of EBITDA or bottom line over the medium term? The third question is on data usage. You mentioned about 40 million data-capable handsets. Can I check what are the active data users in the system and how they changed, say, in the last year? And final question is on the regulatory side. I just wanted to check if there’s any development on the state of 3G spectrum from the regulator? Thank you.
Anabelle Chua: On the PAS 19 adjustment, it’s actually in one of our slides given, but not the whole PHP 3.8 billion. So the only portion that was reversed with respect to 2012 is PHP 1.3 billion. So that’s the expense that was accrued in the fourth quarter 2012 based on the previous PAS 19 standard, but which was not actually – did not materialize yet to an actual acceptance of the offer letter. So it’s only with respect to PHP 1.3 billion out of what we booked last year. So of the PHP 1.3 billion, PHP 791 million has come in to the first quarter of 2013, which implies then there’s another PHP 500 million that will flow through in subsequent quarters of 2013. On the last question, just let me jump to the regulatory. I presume you are asking about the 3G spectrum with respect to – which was previously awarded to CURE which we have to give up. There’s been no development yet on that front. Basically, the last step we have been advised is that the regulators want to create an independent group of auditors to review the cost recovery amount that we submitted, but they have yet to appoint the independent auditor for that process.
Anabelle Chua: The active smartphones we have indicated earlier is about...
Poly Nazareno: 5.6 million.
Anabelle Chua: 5.6 million. So I guess if you look at it versus the end of 2012, that’s up almost like 8%.
Surabhi Chandna – Morgan Stanley: Okay.
Poly Nazareno: Just on the media, the only – the investment through the PDRs will actually I think take place this month in May, which will be in to Cignal. We are expecting that Cignal would breakeven on an EBITDA basis probably towards the end of the – probably in the June, July period. So it will make a modest contribution this year. Obviously with the significant growth in subscriber numbers, it should become more meaningful as we go into 2014, 2015. But we haven’t given any official guidance numbers yet for Cignal. And at the moment, that’s the only PDR investment that PLDT has on the media side.
Surabhi Chandna – Morgan Stanley: So no guidance on bottom line for – over the next two to three years?
Poly Nazareno: Not for Cignal yet.
Surabhi Chandna – Morgan Stanley: Okay.
Poly Nazareno: I think we’ll do that when we give the half-year guidance numbers.
Surabhi Chandna – Morgan Stanley: Okay. Thank you.
Operator: Any other question from Ms. Chandna?
Surabhi Chandna – Morgan Stanley: That’s all from my side. Thank you.
Operator: All right. Thank you. Our next question is from Mr. Arthur Pineda. Your line is now open. You may go ahead.
Arthur Pineda – Citigroup: Sorry. If I can just ask two follow-up questions, firstly, you mentioned that smartphone pickup has been materializing very well. Why are we not seeing revenue growth accelerate on account of it? If you look at other markets, normally, that’s accompanied by better momentum. Is the Philippine consumer willing to spend more for data or are they just reducing the spending on voice and SMS to compensate? Second question, analysis again on competition, sorry to belabor the point. I noticed that you’re – I know that you are moving towards longer duration and higher denomination packages. Is this actually being matched by your competitor as well or are they still focused on the same programs that they were employing in the past? Thank you.
Poly Nazareno: Well, the smartphone increase is there. We’re looking at the penetration of 9% to 10%. As you know, the pickup or the dipping point is much higher than that in other markets. And at this point, we’re not seeing yet that translating to revenue. But in terms of sale although, the load in the network has already gone up, largely, mainly because of offers which include unlimited type of usage in certain apps, for example, or there is still much room for monetizing at this point. But right now, we’re focusing on as many as possible to come into the network and hopefully experience the Internet and that’s when we will be able to do certain kinds of volume pricing. What was the other question? With regards to our move towards higher denoms and longer duration, we do not see that being followed at this point yet, but nevertheless it has been received quite positively by the subscribers. So if the competition will see that perhaps within the next coming months, they would be sensible enough to follow.
Arthur Pineda – Citigroup: Thank you very much.
Operator: Any other questions Mr. Pineda?
Arthur Pineda – Citigroup: No more. Thank you.
Operator: You’re welcome.
Melissa Vergel De Dios: Regarding other callers on the line, any other questions?
Operator: As of the moment, we don’t have any other questions on queue. And that concludes – I’m sorry go ahead.
Melissa Vergel de Dios: Go ahead with the replay details. Thank you.
Operator: That concludes the question-and-answer portion. Before I turn the conference back over to PLDT, I would like to give everyone the instant replay information for today’s call. This conference will be available on the 24-hour instant replay starting today daily on until May 21, 2013. Replay information for this 3:00 PM call international caller number is 852-3018-4121, U.S. toll free 1-866-373-4987. The passcode is 4115. Conference leader is Melissa Vergel de Dios. I will now turn the conference back to PLDT for any additional or closing remarks.
Poly Nazareno: Well, on behalf of my colleagues, I want to thank you all for joining us today and I look forward to – and we look forward to talk to you again sometime early August when we would be ready to release our first half results. Thank you.
Operator: And that concludes today’s conference. Thank you for your participation. You may disconnect your line in your own time.